Operator: Good day, and welcome to the Lakeland Industries Fiscal 2025 First Quarter Financial Results Conference Call. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. During today's call, we may make statements relating to our goals and objectives for future operations, financial and business trends, business prospects and management's expectations for future performance that constitute forward-looking statements under federal securities laws. Any such forward-looking statements reflect management expectations based upon currently available information and are not guarantees of future performance and involve certain risks and uncertainties that are more fully described in our SEC filings. Our actual results, performance, or achievements may differ materially from those expressed in or implied by such forward-looking statements. We undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. On this call, we will also discuss financial measures derived from our financial statements that are not determined in accordance with U.S. GAAP, including adjusted EBITDA and adjusted EBITDA margin. A reconciliation of each of the non-GAAP measures discussed in this call to the most directly comparable GAAP measure is presented in our earnings release. At this time, I would like to introduce you to your host for this call, Lakeland Industries' President and Chief Executive Officer, Jim Jenkins. Mr. Jenkins, the floor is yours.
Jim Jenkins : Thank you, operator. Good morning, and thank you all for joining us for our Q1 fiscal 2025 earnings call. First, I'd like to start by expressing my appreciation to Lakeland's Board of Directors for the trust and confidence they have shown by appointing me to be Lakeland's President and CEO. I'm honored to lead Lakeland Industries and our nearly 2,000 employees worldwide, whose mission every day is to protect the world's workers, first responders and communities by providing quality protective solutions for the most critical situations. Lakeland has an exciting runway for growth and is trying to drive revenue and profit growth in key markets. This executive team and I will leverage Lakeland's strong competitive advantages within our high value markets to deliver improved results and sustainable growth for our shareholders. I also want to thank our customers and distributor partners around the world for trusting us with your lives and safety. Our customers are heroes and we never take that trust for granted. Finally, I want to thank our Lakeland team members across the company for their continued commitment and enthusiasm as we further delivered on our strategic initiatives this quarter. During the first quarter, this dedicated team has continued to execute our previously communicated growth strategies and I appreciate all their hard work. We will talk more about those results and initiatives during this call. During our first quarter of fiscal 2025, our team continued executing our strategic plan of creating a high performance culture driven by our corporate values and we believe we are making excellent progress as highlighted by our strong results, which I will discuss shortly. We are investing in high growth geographies and product segments, including building a premier global firebrand through product, marketing and sales enhancements. We are also working to drive profitable growth in our industrial product lines through product development, strategic pricing, channel diversification and operations optimization. Finally, as we will discuss more, we continue to look for and acquire companies that improve Lakeland's competitive advantage in focused markets. As previously announced, we closed on the Jolly Boots acquisition in early February and immediately began integrating their outstanding products into our global sales platform. Jolly manufacturers and sells a premium boots product line with a global reputation for safety, design and innovation and we are excited to add their products to the Lakeland family of safety brands. We are pleased to announce that we are currently developing NFPA Certified Jolly Fire Boots for the North American market, which we expect to roll out later this year, along with our Pacific Helmets acquisition in November of last year. Jolly acquisition completes Lakeland's head to toe fire product offering, strengthens our geographic diversity and presents exciting cross-selling opportunities with global certifications across Lakeland's existing sales and distribution channels. In early April, we announced the signing of an agreement to acquire LHD Group of Germany's fire service business. Along with the United States, Germany and Australia, our top 3 global fire markets and LHD's fire and rescue offerings bring Lakeland a premium product portfolio with strong footprints in Germany, Australia and Hong Kong. LHD's fire turnout gear also complements and aligns very well with our new Pacific and Jolly offerings in our Eagle technical products. Additionally, the LHD Care service offerings provide us with attractive recurring revenue streams and gross margins that Lakeland will work to leverage and expand. We are making very good progress on clearing all the closing conditions for the LHD acquisition and expect to close this month. As we have previously discussed, these acquisitions reflect our commitment to executing and accelerating the pace of our small, strategic and quick SSQ M&A strategy. We still have a very attractive SSQ acquisitions pipeline and we will continue to search for opportunities that further position Lakeland to execute our growth strategies and invest strategically to broaden and diversify Lakeland's range of products and end markets. I trust everyone has had the opportunity to review the press release and Q1 earnings deck we published last evening. I encourage you to follow along to the earnings presentation as Roger and I review our results. As we stated in our earnings press release, we are very pleased with the start of our fiscal '25 fiscal year. Looking at our first quarter results, our net sales for the first quarter of fiscal 2025 increased by 27% to $36.3 million, compared to $28.7 million in the previous years. We were very encouraged by the growth in our North American and Latin American operations this fiscal year, as these important geographies grew 18% and 54% year-over-year, respectively. While our Asian business remains soft in the first quarter, we continue to see healthy demand for our high value, fire critical environment, disposables and chemical product categories in North and South America led by strong sales efforts and our container programs with key national customers. Our fire services business continues to deepen and broaden, having grown over 92% versus last year's fiscal first quarter, driven by our strategic acquisitions, superior lead times from our manufacturing pipeline and onboarding successes with new distributors. Our newly acquired company, Pacific Helmets and Jolly Boots, represented $3.9 million or 11% of our total Q1 FY '25 sales. Over the coming months, we will continue to integrate Pacific's and Jolly's outstanding fire safety products into Lakeland's global sales channels and marketing platforms as we work to proactively leverage synergies across our global portfolio through market expansion and cross selling opportunities. During the quarter, we had a very successful showing at the FDIC International Conference, the largest trade show for the fire and rescue industry in North America, where we were able to demonstrate to customers our new Pacific Helmets and Jolly Boots offerings, along with our outstanding Lakeland's Eagle fire turnout gear. We also unveiled a new NFPA Certified fire glove that is a major step forward in firefighter safety due to its power luminescent trim that will illuminate dark and smoky areas. In terms of profitability, our first quarter gross margins came in at 44.6%, an increase of 1.2 percentage points over the same period last year. Our adjusted EBITDA for the first quarter of fiscal year 2025 was $3.9 million an increase of $1.1 million or 40% compared with $2.8 million for the first quarter of fiscal 2024. Roger will discuss these in more detail later. Our gross margins and adjusted EBITDA for the quarter benefited from the improving product and geographical mix of our higher value strategic products. From an earnings perspective, our first quarter fiscal 2025 net income was $1.7 million, an increase of 25%, resulting in net income per diluted share of $0.22, compared to $0.18 in the prior year. After quarter end, Lakeland announced its strategic partnership with LineDrive, a leading outsourced sales and marketing company for industrial maintenance, repair and operations. We believe this exciting partnership will significantly expand Lakeland's products to large industrial distributors and customers in North America. Given the strong start to the year, we are pleased to raise our full year fiscal 2025 revenue and adjusted EBITDA guidance, which Roger will also discuss in more detail. Additionally, we expect to make further announcements within the next few weeks regarding our closing of the LHD acquisition and revise our guidance again at that time to reflect the impact of LHD on our fiscal year results. To summarize, our commitment remains unwavering and I'm excited to see where this coming year takes us. From here, I'd like to pass it over to Roger and cover more of the financial results for you and provide an outlook for the coming year.
Roger Shannon: Thanks, Jim, and hello, everyone. As noted in our earnings press release yesterday afternoon, we delivered strong year-over-year sales and profitability growth. Looking at our first fiscal quarter of 2025, Lakeland delivered sales of $36.3 million, compared to $28.7 million for the first quarter of last year. Our organic revenue, excluding our Pacific Helmets and Jolly Boots acquisitions, grew by $3.7 million or 13% year-over-year, driven by increases in our fire, chemical, wovens and disposable products. On a trailing 12 month basis, Lakeland's TTM revenue as of Q1 fiscal 2025 is $132.3 million. This is an increase of $18 million or 16% versus the Q1 fiscal 2024 TTM revenue total of $114.3 million. We also saw double-digit year-over-year organic growth across North and South America, including a 16% year-over-year growth in the U.S., 18% growth across North America and 54% in Latin America. Our strong sales growth in North America and Latin America during the first quarter of fiscal 2025 was partially offset by slightly lower sales in Asia and Europe despite some preliminary signs of growth from China. Lakeland's domestic sales were $14.3 million or 39% of total revenues and international sales were $22 million or 61% of total revenues. This compares with domestic sales of $12.3 million or 43% of the total and international sales of $16.4 million or 57% of the total in the first quarter of fiscal 2024. In terms of product mix for the first quarter, as Jim mentioned earlier, our Fire Services business, a key strategic growth focus for the company, grew $5 million or 92% versus the same period last year, driven by $3.8 million in sales from our Jolly and Pacific acquisitions and organic growth of $1.2 million as a result of our superior lead times and onboarding successes with new distributors. Our disposables category continued to decrease as a percentage of Lakeland sales as a result of the growth in our fire services and chemicals categories and the continued weakness in the disposables product line in Asia. It now represents 36% of the total revenues compared to 43% in the year ago period. However, despite continued weakness in Asia, disposable sales increased by $800,000 or 6% versus the first quarter of last year. As Jim mentioned, we do see excellent opportunities to grow both our disposables and woven product categories, due in part to our new LineDrive relationship and accelerating market share growth in Latin America. We continue to have success with our North American Direct Container program and our oil and gas turnaround business remains strong. Additionally, we are very optimistic about our critical environment opportunities as our excellent sales team continues to identify and close new opportunities. Reported gross profit was $16.2 million for the first quarter of fiscal 2025, an increase of $3.8 million or 30%, compared to $12.4 million in the first quarter of fiscal year 2024. Our reported gross profit as a percentage of net sales was 44.6% for the first quarter of fiscal 2025 as compared to 43.4% for the first quarter of fiscal 2024. Versus the previous year, our gross profit margin was helped by a 4.1% improvement in sales mix from higher value products and a 1.7% improvement in operations costs, offset by a 4.6% decrease resulting from the absence of non-recurring upsides in the first quarter of fiscal year 2024, as we show on Slide 7. Lakeland reported an operating profit of $2.2 million for the first quarter of fiscal 2025, compared to an operating profit of $1.9 million for the first quarter of fiscal year 2024. The main drivers for the difference between the two periods were higher sales and gross margin in the current quarter, slightly offset by a $3.5 million negative impact from higher SG&A costs. While our operating expenses increased to nearly $14 million for the quarter, $1.2 million of the increase was due to acquisition, non-cash and non-recurring expenses and acquired and sales related growth expenses accounted for $1.9 million of the increase. Operating margins were 6.1% for the first quarter of fiscal 2025 compared to 6.8% for the first quarter of fiscal year 2024 for the recent discussed the product. Tax expense for the quarter was $388,000 for an effective tax rate of 19% for Q1. Discrete items related to the settlement of Pacific and Eagle acquisitions positively impacted tax expense in the quarter. We currently estimate an annual tax rate of 25% for the current full fiscal year. Lakeland reported net income of $1.7 million or $0.22 per basic and diluted share compared to net income of $1.3 million or $0.18 per basic and diluted share last year. Adjusted EBITDA for the first quarter of fiscal 2025 was $3.9 million or a margin of 10.6% compared to $2.8 million or a margin of 9.6% for the first quarter of fiscal 2024. As shown on Slide 7, our adjusted EBITDA for the quarter versus Q1 of fiscal 2024 benefited from improvements in our higher value product sales mix and operational improvements, partially offset by a $1.6 million decrease resulting from the absence of the previously mentioned non-recurring upsides in the first quarter of fiscal year 2024, along with higher selling expenses related to sales growth and acquired entity OpEx and higher general administrative expenses, mainly professional fees. On a trailing 12-month basis, Lakeland's TTM adjusted EBITDA, excluding the impacts of FX as of Q1 fiscal 2025 is $16.5 million. This is an increase of $5.3 million or 47% versus the Q1 fiscal 2024 trailing 12-month adjusted EBITDA, excluding FX, totals of $11.2 million. Now turning to the balance sheet. Lakeland ended the quarter with cash and cash equivalents of approximately $28.4 million, compared to our prior year ended cash balance of $25.2 million. Our continued focus on inventory reduction and generating cash flow resulted in an $8.6 million reduction, excluding the effects of acquisition in our inventory year-over-year, mainly driven by a 21% decrease in finished goods inventory. Though Q1 tends to be a higher cash usage quarter, our laser focus on cash further strengthens the company's financial position, particularly our robust balance sheet and cash position, which we believe allow us to continue pursuing organic and inorganic growth opportunities. As of April 30, 2024, the company had long-term debt outstanding of $13 million. As we mentioned in our press release in early February, we drew down a portion of our revolving line of credit in conjunction with the closing of our acquisition of Jolly Boots. We expect to make some repayments of debt in the second quarter, but also to draw down on our revolving credit agreement for the purchase of LHD. In addition, on March 28, 2024, we completed an amendment for our existing revolver to extend the facility for 5 years and to expand our line of credit availability up to $40 million with an additional $10 million accordion feature, up from $25 million previously, along with improved terms. Capital expenditures for the 3 months ended April 30, 2024 were $500,000. We still expect FY '25 capital expenditures to be approximately $3 million as we develop additional in-house fire services manufacturing capacity and replace existing equipment in the normal course of operations. Monterey expansion, which we discussed last quarter, remains on pause as we continue to assess weather related damage to our leased building. Now looking ahead to the rest of fiscal 2025. Based on our strong start to the first quarter of fiscal 2025, our existing backlog and our outlook for the remainder of the year, we are revising upward our forward-looking guidance for our 2025 fiscal year. Please note that these expectations include the recently announced Jolly Boots and Pacific Helmets acquisitions, but do not include the LHD Fire Services business, which we expect to close this month. We are becoming more confident in our global sales platforms and earning ability and we now see fiscal year 2025 revenue in the range of $150 million to $155 million. Additionally, we expect FY '25 adjusted EBITDA, excluding FX to be in the range of $17 million to $20 million. We expect to update these expectations once we close the LHD transaction and fiscal 2025 progresses. With that overview, I would now like to turn the call back over to Jim before we begin taking questions.
Jim Jenkins: Thanks, Roger. As I alluded to earlier, Lakeland is well positioned for profitable growth and we believe our value proposition has never been stronger. Of course, driving execution will be the key. Strong organic growth remains at the heart of our strategy. Consistent with our revised guidance, we expect organic growth to be in the high-single-digit range for the balance of fiscal 2025 year. We will also continue to identify and pursue acquisition opportunities that expand our addressable markets, geographical footprint and capabilities. Acquisitions remain an important part of our growth strategy and increase the trajectory of our business. We have a strong balance sheet to support the conversion of our active M&A pipeline. We will continue to drive process improvement from our operations and finance teams as we strive to maintain the early sales momentum we saw in the first quarter. All in all, I like our team, our strategy and the early returns on our plan. With that, we will now open the call for questions. Operator?
Operator: [Operator Instructions] Your first question for today is from Gerry Sweeney with ROTH MKM.
Gerry Sweeney: First off, I'm going to apologize for any noise in the background. There's some work being done. But with that being said, Jim, congratulations becoming CEO. And over the course of your interim term, you've also helped expand Fire, lots of degree of disposable, we'll say, balance the product mix across Lakeland. LineDrive seems interesting, made acquisitions. So there's a lot going on, all good at Lakeland. But I'm just curious of maybe what you look at as maybe your major milestones over the next maybe 2, 3, even 4 quarters with all this going on internally at Lakeland?
Jim Jenkins: Right now, I view my most critical responsibilities as developing our team, finding new additions to our team and frankly, the least favorite part of my job, exiting people who I think at some point we've either outgrown or are just no longer where they need to be within the organization. And the first two parts of that, actually all three are going to take some time. And we've already had a tremendous amount of change within this organization over the course of the last 12 to 15 months. So some of this stuff I'm going to take a little bit slower. We're starting to get some traction here on the strategy. We need to fill out our team on the sales front and we would expect to see a new sales leader here in the not too distant future as we narrow down the opportunities we have there and run those out. And then I've got the need, I think, for some HR leadership that I'll need to bring to the table as well. I've spent a considerable amount of time traveling. I'm in Hong Kong today meeting with the folks from LHD. I was in, Adelaide the other day, meeting with the Australian LHD team, and we were, of course, in Cologne a few days earlier meeting with Germany. So, we're, I like to say the sun never sets on Lakeland. And so I think primarily my job is going to be those three components while also touching our customers and touching our people and making sure that we're all rolling in the same direction. But I'm very pleased with the development of our current leadership team, the responsibilities they've taken on, the resiliency of the entire organization to some of the changes that have occurred, and I'm energized by it. It's a little past 12:00 AM here in Hong Kong, and, I feel like it's midday.
Gerry Sweeney: I would never have guessed that you're in Hong Kong. So good connection and you sound great. Maybe we can touch upon LineDrive. I spoke with you about it early in May when you first initiated or announced the agreement. But it certainly seems like an interesting way of adding additional marketing capacity and growth to the organization. And maybe you can just give a brief highlight, if my memory serves correct, LineDrive adds maybe some depth or ability to open the right doors to the right people in the right order to really drive some additional growth. But just curious if maybe you can give a little bit of an update on that or even some background in where it's going.
Jim Jenkins: So we've rolled this was the week for training for LineDrive. So many of our product management and sort of product evangelists were in Chicago meeting with LineDrive to help roll that out. I think all indications were that, that went very well. It will take some time to gain some traction on that, but we're very pleased with the homework we've done on LineDrive’s. We spent a considerable amount of time talking to their current customers and we're pleased to hear what we were hearing from them. And frankly, I think to your point, it gets 35 or so additional feet on the street to get the Lakeland message out to a level of, a high level of national account type distributors that we see a strong ability to leverage our brand.
Roger Shannon: We have a lot of confidence in our sales force. We do have a strong sales team and we're clicking on a lot of cylinders. But what LineDrive brings, like Jim said, is just a vastly enhanced level of access to about 30, 35 large national accounts, where LineDrive is already representing some of the top names that you would recognize in MRO across other verticals. So they take just one vertical, will be the only industrial PPE provider in their portfolio. But there are other very prominent names that you would recognize that they go into these national accounts with. And very compelling thing to the value proposition is they have the relationships, not just in the field and in the regions, but in the headquarters of these large national accounts and some of them have even come from those accounts. They know the right people to talk to. And what's kind of mentioned that the way we got this opportunity is that a large competitor of ours that you might know and then you might recognize, decided to pull out of that relationship and it opened a fantastic door for us and we're seeing promising leads already.
Jim Jenkins: Yes. One last thing to add to that and that is that. Because of as Roger alluded to the talent that we have in our current sales group, it's not like we're excluding entirely any of these REIT relationships. We have several hybrid models where we have guys who have strong relationships with these distributors and they're sort of joint venturing the relationship with LineDrive and we see that as a critical enhancement as well.
Gerry Sweeney: Maybe one more question and this maybe might I'm sorry, my apologies. It may be more for Roger, but you highlighted operating margins down slightly year-over-year. Obviously, there's some noise in there. I think there was some legal costs and you mentioned something else. But where does that go from here? I mean, we can, I certainly understand exiting out the legal costs, but just curious if there's a little bit more fine tuning at some of the acquisitions to drive out costs or everything is aligned and you just grow into some of those costs that you have acquired?
Roger Shannon: No, I think there absolutely is and there will be additional costs that we drive out. We highlighted the acquired CapEx and that's shown as one of the bridge items in our presentation. And we just brought those companies on. We've talked about in the past that we like companies that have strong internal talent. We tend to run on a regionalized basis. So, the company and their workforce comes over. But we're really digging in that beginning now, beginning this quarter to look at not just their expenses and we have identified some things that are no longer needed as a standalone company on their part, but also to continue to work ours. And I'm still not happy with the level of expense in some areas of ours. It's not it's kind of more related to third-party and professional expenses and things that we're going to look at on that front. And like we noted there, the transaction expenses, a lot of those did flow through this quarter and we'll continue to have that until we close LHD and that'll be a regular thing as we do other acquisitions. There are some expenses related to the Monterrey Mexico situation that they're being carved out until we get that resolved. And as you'd expect with acquisitions like this, depreciation, amortization goes up through the purchase accounting mechanism. So, short answer is, it's not surprising. Not a lot. We're not, I'm not happy with where it is, and we're going to continue to press that and work with not just our newly acquired entities, but our all of our regions and teams in the field and in corporate to improve that.
Operator: Your next question is from Matthew Galinko with Maxim Group.
Matthew Galinko : I think the first quarter of year-over-year disposables growth in a while. So I was hoping you could maybe comment on that a little bit more. Was it specific to your kind of working on shoring up go-to-market there or was there just something anomalous in the quarter? And then generally, how should we think about the disposal trajectory moving through this year and what sort of implied in your organic expectations for this year?
Roger Shannon: It's Roger I'll jump on that first and Jim follow on. Again, there's some interesting dynamics at play there. And as we went through our strategic planning last summer and last fall, we really identified not just that fire service was a strong growth priority for us, but also we've got a fantastic disposables and PPE brand. In most places in North America, we've got 20% to 35% of the market there. And I think we've fallen the sword a little bit. I think we caused some confusion maybe with some customers and with our sales team about two years ago when we kind of started talking about commodity versus strategic. And that was a mixed message that this kind of new management team has worked to change because that is a very strong and important part of our portfolio. So, on one hand, we are still seeing weakness in Europe. We're going to address that. China, we've talked about, we've addressed that, but we've got, we're very pleased with our sales efforts in the Americas, North America, South America. And again, this is even before LineDrive relationship has really taken hold at all. So things like Critical Environment, we're seeing growth there. We continue to make inroads on the high performance of AR. The chemical, we saw turn up. Our team in Latin America, South America is just doing a tremendous job growing that business there. So, we think we've cleaned up our message on what disposables are. It is, as Jim describes very well, it is a very good cash flowing business for us. We own our manufacturing and we do a very good job of it. We've got a great brand there. And our task is just going to be to get Europe and Asia back moving in the right direction and we'll be very pleased.
Jim Jenkins: Yes. I would echo a lot of what Roger said and I would sort of pile on a little bit on Latin America. Obviously, there's currency issues that we've had there in the past, but it's a developing market. There's a lot of activity in the spaces where we provide sort of the industrial disposables opportunities. And we're becoming rapidly a growing leader in that market. We obviously have some price pressures in places like Europe and China, and we're hopeful that we spend a lot of time educating our sales teams in those markets and showing them how we want us to be sort of a differentiator in partnering some of our larger customers and distributors. And layer on top of that, I think the pending opportunity to have a sales leader here soon, I'm very optimistic about where we're going here.
Roger Shannon: And Matt, just one thing, last thing I'd point out there as well is, as you've seen our -- I haven't had a question on this, but you've seen our gross margins go up. And it's not just the fire, although that is driving a lot of it. But even on the acquired companies, the gross margins at those companies, as we've talked about before, tend to actually be a little bit lower. But the programs that we have, some manufacturing efficiencies that we've gotten in place and we continue to work on. So, that really is business that we like and that we're continuing to focus on very intently.
Matthew Galinko : And I guess just a follow-up on the guidance. I know you're not going to get too granular, but I think you mentioned around a 9% organic growth rate for the rest of the year. I think it was maybe around 11% in the first quarter. But I'm just curious particularly around fire, what's a reasonable organic growth rate we should be thinking about for this year?
Roger Shannon: Like you said, we're thinking about it really more as a whole. And one of the reasons that it's kind of hard to kind of peel out the organic and this is this actually, I mean, it's a great point that you raised because I can address something else there. One of the reasons that we're not really going to get into, say, what's the EBITDA, for example, at a Jolly or a Pacific is the cross selling. So, they would have had EBITDA of X or Y as a standalone company. Now that they're part of Lakeland and we're selling into the U.S. now and not just in the U.S., but even through Eagle Channels and through other sales operations that we have, we changed the, not to get technical on it, but changed the transfer pricing between that entity then into the U.S. or to Europe or what have you. So, what their EBITDA would have been, let's just say standalone, will be very different than what it is into selling into the U.S. or into through the Eagle Channel. So, it makes it a little tougher to say what's the organic because now we're selling those products through the U.S. So, really when you say what's the organic fire for Lakeland, really you're just talking about the Lakeland and Eagle turnout suits, which I think is missing a lot of the picture because the value proposition as we've talked about is the full head to toe kit.
Matthew Galinko : Maybe final question for me and then I'll jump back in the queue. Anything else you could add on for investors regarding the LHD acquisition and the timing, should we be confident that kind of the final hurdles are relatively surmountable or should we be thinking of it as something that could slip further out of the first half? How should we be framing that?
Jim Jenkins: Yes. Matt, I guess I'll start with that. And M&A is an iterative process and I have strong beliefs that this deal is going to get done. But when you've got between regulators and third parties, sometimes it's like herding cats. I wouldn't be here in Hong Kong, if I didn't think this deal was going to close. But stranger things have happened, but that's not I'm not suggesting that, I mean, there -- I don't do odds anymore on these kinds of things, but I can tell you I'm highly confident at this point because I wouldn't be here if I wasn't.
Roger Shannon: Yes. I mean, like we mentioned in our comments, we are very close, we believe.
Operator: We have reached the end of the question-and-answer session. And I would now like to turn the floor back to Jim for closing remarks.
Jim Jenkins: Thank you, operator. Thank you all for joining us on today's call. We appreciate your continued interest in Lakeland. We look forward to building on the strong momentum Lakeland has and sharing our success with you in fiscal 2025. Have a great day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.